Operator: Thank you everybody for joining us and welcome to the SL Green Realty Corp First Quarter 2015 Earning Results Conference Call. This conference call is being recorded. At this time, the company would like to remind listeners that during the call management may make forward-looking statements. Actual results may differ from forward-looking statements that management may make today. Additional information regarding the factors that could cause such differences appear in the MD&A section of the company’s Form 10-K and other reports filed by the company with the Securities and Exchange Commission. Also during today’s conference call, the company may discuss non-GAAP financial measures as defined by the SEC Regulation G. The GAAP financial measures most directly comparable to each non-GAAP financial measure discussed in the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on the company’s website at www.slgreen.com by selecting the press release regarding the company’s first quarter 2015 earnings. Before turning the call over to Marc Holliday, Chief Executive Officer of SL Green Realty Corp, I would ask those that are participating in the Q&A portion of the call, please limit your question to two per person. Thank you. I will now turn the call over to Marc Holliday. Please go ahead, Marc.
Marc Holliday: Okay, thank you and good afternoon, everyone. We are pleased to have the opportunity to give all of you our perspective on the state of the market now that we are nearly four months into the New Year. And I can sum up our excitement for SLG’s year-to-date performance in essentially two words: leasing, velocity. As of today, we have concluded over 900,000 square feet of commercial leasing in over 60 individual lease transactions. Most notable among these by size are the leases to Bloomberg at 919 Third Avenue; Franklin Templeton, a new advisory at 280 Park Avenue; and WeWork at 315 West 36 Street, a balance of financial, media and technology uses. It seems likely that having completed this amount of transactions in less than 4 months, we are on track to exceed our full year leasing projections. The Manhattan office and retail leasing teams are taking full advantage of vacancies in the growth portfolio and rolling up markets – rolling up Winston market in the stabilized portfolio and also by taking advantage of our deeply embedded mark-to-market in our retail portfolio. And by doing this, it should allow us to meet or exceed this year’s goals while laying the foundation for a strong future growth in 2016 and beyond when these newly signed leases generally will kick in. Clearly, this market is benefiting from overall Midtown vacancy rates of under 9.5% on leasing activity that is on pace for between 35 million and 40 million square feet of new and renewal leasing this year. From an employment perspective, the first quarter of 2015 was the strongest quarter since the year 2000. New York City added 16,400 office using jobs and the distribution of jobs among the three primary office using sectors: professional and business services; financial activities; and information were about equal. Usually, professional and business services accounts for most of the increase in office using jobs of late, but you could see now that’s equally distributed between the three main office using sectors. The good news for our shareholders is that the leasing pipeline also remains robust even after coming out of the gate strong in 2015. We now have over 500,000 square feet of lease documents that are either out for signature or are pending and being negotiated. That compares with about 575,000 square feet at the same time last quarter and to the fourth quarter. And you see how we were able to convert these opportunities into signed lease transactions and then some. These leasing achievements helped to drive a 3% same-store NOI increase in the first quarter that was actually ahead of our budget and is expected to be exceeded for the balance of the year, such that we feel on track to meet our goal of between 3.5% and 4% for the full year. On the investments front, we were active closing out year end deals, like the additional ownership interest that were acquired in 800 Third Avenue and the closing of the Stonehenge residential portfolio, along with a successful disposition of 180 Maiden Lane and the net new origination of about $145 million of structured finance investments. This net investment activity, along with the un-encumbering of 711 Third Avenue enabled us to access the ATM and DRIP for modest amounts of equity, issuances that were completed to continue to improve our balance sheet. This steady improvement resulted in an upgrade in credit rating to investment grade for Moody’s and an outlook upgrade from S&P. For the balance of the year we are expecting to rollout several assets for sale, which will be used in large measure to fund our pipeline of investments for the year without reliance on larger equity issuances. Turning now to other main objectives for the second quarter and balance of the year, we continue to move forward through the approvals process in support of the Vanderbilt corridor rezoning and to obtain a special permit for the development of a new commercial tower at One Vanderbilt Avenue. The project has the support of the Borough President, Brewer, City Planning Commission and our partner organizations at the coalition for a better Grand Central. We are now before City Council, who is expected to vote upon the project in May at which point the land review process will be concluded. And we hope and expect that we will receive this special permit that we have been working on for some period of time now as most of you know. Other company recognitions just to make note during the year – I am sorry during the first quarter. Actually, this was just in the past three months. SL Green was recently recognized by the U.S. EPA as a 2015 ENERGY STAR Partner of the Year on Monday, April 20, during its award ceremony in Washington, D.C. And we got that award for sustained excellence in energy efficiency and the development of market leading sustainability programs. So we are very proud of that, not only proud of the performance of the company, the balance sheet and then our stock price, but proud to be able to achieve all of that while doing it in a very responsible environmentally sustainable way, which has now been recognized at a federal level. Also as I think many or most of you know at this point, we were given admittance, if you will into the S&P 500, which I think is basically a confirmation of the strategies and direction that we have taken with this company over the period of years to grow and diversify, but diversify within our market and create a level of size, stability, performance and return that we think is now on par with some of the best and biggest public companies on the New York Stock Exchange. And for that, we are very pleased and proud. So that is a quick snapshot of how we are looking at this market as its shaping up now. I would say it’s basically on par or slightly better than our comments to you back in December at the investor conference, which you remember we have focused on basically 10 drivers of growth. I think those drivers of growth are evidencing themselves in significant degree. And I think we have called the market fairly correctly for our shareholders, which obviously we try to do because we look as much as we are in this market, we view that may be we only have maybe a 6 to 9 to 12 months advantage over people not as deep in this market. So we always want to be as transparent and as early with you on how we see market trends developing. And I think, as I said the first four months of the year, I think we have called it pretty well, so we are happy about that. And with that, we will take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Nick Yulico with UBS. Your line is open.
Ross Nussbaum: Hi. It’s Ross Nussbaum here with Nick we are going to tag-team you. At One Vanderbilt, are you guys contemplating doing a joint venture on that project ahead of putting shovel in the ground or can you talk a little bit about how you are thinking about the long-term capital stack for that asset?
Marc Holliday: Well, the answer is yes. We are considering JV alternatives for that asset. And I think the question will just be when shovel is in the ground already. I mean in terms of just starting some interior demolition. So the big money spend starts in probably 2017 and beyond. And by then, I think we will have determined our capitalization of the project with or without JV partner, but obviously, it’s high consideration right now. We are just sitting here in early 2015, it’s being financed right now out of cash flow and it’s not something that needs to be in our opinion dealt with right now, nor should it necessarily be, because I think there is real value be created between now and call it the next 12 to 24 months.
Ross Nussbaum: Thanks. Yes, Steve, could you just give us a little bit of update on the leasing market in the city in the first quarter, not just your activity, but how you are thinking about the whole market. I mean, it seems like there is now some bigger trends in the market looking for space, small space trends seem pretty positive as well and maybe relate back to your portfolio, how you guys might benefit from that over the next year?
Steven Durels: Well, if you break apart the various submarkets, you have seen strength across the board, both on the small space type tenant, but also on the big tenants and on the high price point tenants. I would say from the tenant profile perspective, financial services seem to be more active today than anytime in the past couple of years. As we look at our leases that are out right now, 9 of our 10 largest leases that were negotiated are financial service related businesses. And there doesn’t seem to be a pocket in town, where there is a dearth of activity. It’s really guns blazing across all submarkets. And we have been pushing rents up sort of every 30, 45 days as far as where our taking rents are in most of our buildings. So, I don’t think it’s unique to our portfolio. I hear the same thing back from the brokerage community, which I think is one of the big things to understand that the brokers are out there telling their clients that the balance is shifting towards the landlords that the market is rising and they don’t see it slowing down in the near to intermediate future.
Ross Nussbaum: Just lastly on the 919 Third in the Bloomberg lease, can you give us some perspective on the rent mark-to-market there and is that replacing an expiration in coming years? Thanks.
Steven Durels: We are under pretty detailed confi with them on that. It replaced several tenants that draft, which is part of Interpublic, had rolled out of the building over a year ago. So, they took five of their floors and then we ended up three floors of tenants, whose leases will be expiring over the next immediate to year or so. So, it’s a pre-let on that. So, it’s a combination of floors.
Operator: [Operator Instructions] Our next question comes from John Guinee of Stifel. Your line is open.
John Guinee: Great. Thank you very much. My two questions may expand a bit, so but very quick answers. Weighted average share count increased by 2 million shares, a little background information on that. Other assets also popped this quarter, any color on that? And third, can Andrew or David talk about why, how the underwriting for your structured finance investments has changed over the last 2 years as capital has become readily available in that part of the world?
Marc Holliday: Sure. Matt?
Matthew Diliberto: Yes, John, it’s Matt. I guess the first two, so Mark alluded to in his commentary the use of our ATM and the DRIP plan to issue equity during the first quarter for some investment activity and repayment of the 711 Third Avenue mortgage. So, that was – that’s the increase in share counts. As to other assets this quarter, we booked the popular FAS 141 adjustment for 388 Greenwich, an acquisition we did last year. As you know that bifurcates the real estate asset into real estate and then other. And so that’s the increase in other assets.
Marc Holliday: On the structured finance side, I would say the underwriting parameters for subordinate financing have held pretty stable. We are benefited by the fact that a lot of the buildings that are being purchased are redevelopment type opportunities without a lot in place cash flows. So, where you have seen lending get a lot more aggressive is where the significant cash flow in place on assets, most of the assets that we are financing are lease up, lease to market, redevelopment type opportunities. We have been able to hold our underwriting standards pretty static from last year and the year before.
John Guinee: Great, thank you.
Operator: Thank you. Our next question comes from Tayo Okusanya of Jefferies. Your line is open.
Tayo Okusanya: Yes. Just a quick question on the suburban markets, again when you exclude Long Island, you still have fundamentals that seems to have weakened a little bit versus prior quarter. So, I was hoping you can expand on what you are seeing in the suburban markets?
Isaac Zion: Hi, this is Isaac. That was really driven by one particular lease. The year end was obviously very strong. The first quarter, we saw robust leasing activity of over 200,000 square feet. We are wobbly outperforming the market. Our occupancy is about 85% on signed deals in both Connecticut and Stanford. The overall vacancy is about 23%, 24%. So, that mark-to-market, if you exclude Jericho in that one particular deal, on commenced deals, it was actually positive 4.4% and on signed deals about 1%. So, fundamentals are still while not the city, they are still improving.
Tayo Okusanya: Yes, that’s helpful. And then just another quick question on TIs and leasing commissions going forward, how should we be thinking about that for other development projects you are working on? Should we think of them as potentially being as high as 280 Park or there is something very unique to 280 Park?
Isaac Zion: Well, it’s generally a function of direct more so than development or not. We could do a development deal downtown and we wouldn’t be offering the kind of concession packages that you might offer at 10 East 53rd and 280 Park. So, I think you sort of have to look at it as we look at it and I am sure shareholders look at it on a net effective basis, the higher rent, the higher margin deals and the bigger deals were savvy tenants are going to traditionally carry higher TI levels, so Steve, at 280 and 10 East, where would you peg those kind of new TI deals.
Steven Durels: On the high side, they have been as much as $75 to $80 a foot, but typically, they are more in the $65 to $70. And to add to the logic of that, one it’s a function of price points of big rents therefore support a bigger TI contribution, but also the profile of the tenant that’s going into those high rent paying buildings have extraordinarily expensive build-outs. So, they will absorb a bigger rent, but they need some level of added support as far as TI contribution, because their build-outs aside from what the landlord maybe contributing, they could easily be putting another $100 a foot into the build-out on top of our contribution.
Marc Holliday: Yes, you have to look at lease term, obviously. I mean, some of those bigger deals are 15 years terms, so there is 50% more term, but there is clearly not 50% more TI associated with those deals. So, it’s actually doing a $75, $80 deal on a 15-year basis is better than I guess a $60, $65 deal on a 10-year base. You have to adjust for term, you have to adjust for rent and rent margin. And construction costs are going up. I mean, you hear that from everybody in New York City. So, real TI is sort of holding flat to maybe contracting a bit, so real TIs are actually going down as construction costs go up.
Tayo Okusanya: Thank you very much.
Operator: Our next question comes from Jamie Feldman of Bank of America Merrill Lynch. Your line is open.
Jamie Feldman: Great, thank you. I was hoping you could spend a minute on the Street retail business and just demand, I mean, we have got Westfield and Brookfield opening, their space up downtown. It sounds like Times Square will have some vacancy with Toys "R" Us and certainly with stronger dollar and tourism slowing a little bit. What are you guys seeing just in terms of tenant demand in the pipeline and which submarket seem to be standing out?
Marc Holliday: We are seeing very good demand in Times Square. I mean, we just had a smashing success with our space at 1515 Broadway with the leases to Skechers and Swatch. We are seeing very strong demand in Soho and we have a lot of active discussions on our vacant or available properties in Soho. We don’t have any vacancies. We have some future availabilities, which we are talking to tenants about and prime Fifth Avenue and Madison continues to be strong as well. I mean, we did the Diesel lease at 625, which we spoke about in the last call. So, we really haven’t seen any abatement of tenant demand due to stronger dollar or any impact on tourism. Thus far, there is still a lot of strong tenant activity.
Jamie Feldman: And then speaking with retail, what about on the underwriting side and capital flows and asset values, is that changing at all?
Marc Holliday: Continued strength, incredibly competitive to get sites, both leased and available sites anywhere and we would continue to see values escalate.
Jamie Feldman: Okay, thank you.
Operator: Thank you. Our next question comes from Vincent Chao of Deutsche Bank. Your line is open.
Vincent Chao: Hey, good afternoon everyone. Just curious if you could just comment on sort of capital flows you are seeing into New York, obviously the markets are strong, clearly still seeing some capital coming in, but just curious what your thoughts are over the balance of the year particularly from the foreign capital side, do you expect that to be higher than last year and in ’15 and just thinking about that in relation to the dollar move things like that?
Marc Holliday: Well, we are continuing to have a very strong volume of incoming calls looking for opportunities. I would say the Chinese are very much making their presence belt. The purchases of 717 Fifth, the office portion of that tower which traded to a Chinese company, I would say was a real bellwether type transaction. And they are following that up with a lot of interest in other projects. There are voracious demand for residential and development type opportunities. And Isaac, I don’t know if you have anything to add to that. I mean we have – it wouldn’t surprise me if this year eclipses last year, given the amount of – there is a lot of deals on the market right now and there is an enormous amount of capital chasing and so usually that leads to record capital flows.
Isaac Zion: Yes. I would just echo it’s the Chinese, I think the Koreans are looking at the market stronger than they were last year. There are more groups searching more conversations that we are having. The sovereign wealth funds from all over the world as well, particularly from Norway and the Middle East are also very, very active looking for yield and have lower cost of capital. So that’s – they are going to be very, very aggressive. And this city is relatively cheap compared to other markets around the world.
Vincent Chao: Okay. Thanks for that. And then just one on the accounting side here, just other income looks like it’s up from where it’s been the last couple of quarters, just curious if you could provide some color on that?
Marc Holliday: It’s really just the timing of fee income. We have recognized fee on one of our projects in the first quarter it was around $3 million. Otherwise, it’s really recurring stuff, there is probably $1 million dollars of lease termination income in there as well.
Vincent Chao: Okay, thanks.
Operator: Thank you. Our next question comes from Alex Goldfarb of Sandler O'Neill. Your line is open.
Alex Goldfarb: Thank you. Good afternoon. Two questions, first Matt, on the exchangeables that are currently in the money, can you just give us an update, are these already reflected in the diluted share count or how should we be thinking about these, presumably the holders of these would convert them given how they are in the money?
Matthew Diliberto: So, to answer your first question, they are not in the diluted share count based on the nature of the instruments. They remain at their face value in debt. They accrete up to their face. They are slightly discounted to face on the balance sheet. They are convertible. At this point hey are convertible. Last quarter they are convertible. This quarter the view is people won’t exchange those because ultimately you end up at equivalent yield in a more junior position to where they are today. All that said it’s a 2017 maturity. We have been focused on attending to ‘17 maturities if we can early. So we are considering alternatives.
Alex Goldfarb: Okay, that’s helpful. The second question is on the Street retail Page 47, in the prime retail section a number of the near-term maturity leases, the mark to market doesn’t look to be too different to where – the in place doesn’t look to be too different from where the market rent is, in contrast you go out further and there is definitely a meaningful mark. So are the near-term maturities in the prime JV Street retail portfolio, are those assets that are going to be repositioned so that the mark to market is actually higher or just surprised if there is really not much of a mark there. And again, this is on the JV Street retail, the near-term stuff?
Marc Holliday: Alex, I have got to go through the specific properties underlying those assumptions and come back to you with a more specific answer. Looking at the table, we don’t give addresses. So I would have to go through and take a look specifically at that trend.
Alex Goldfarb: Okay. Well and then if I can just ask one more just to replace that, Matt was there anything in the first quarter operating margin why the margin was meaningfully higher than last year?
Matthew Diliberto: Obviously, we had seasonal expenses, first and third quarters are higher than second and fourth. And reimbursement revenues don’t track proportionately to increased OpEx, so our OpEx was the high in the first quarter as it has traditionally been particularly high given New York had another cold, wet winter. The reimbursement revenues bleed in on a lag basis. And so I would say that’s really the only trend there, nothing unusual in line with our expectations as Marc alluded to earlier, both on a same store and absolute basis in term of margins for this quarter.
Alex Goldfarb: Okay, thank you. And Andrew we can follow-up afterwards. Thank you.
Operator: Thank you. Our next question comes from Steve Sakwa from Evercore ISI. Your line is open.
Steve Sakwa: Thanks. Good afternoon. Marc, at the Analyst Day you guys talked about I think releasing spreads of 10% to 12%, yet you don’t have pretty successful New York City number at 17, I realized the suburban number is a little bit weak, but any thoughts as to kind of where that number may be. And is there anything in the leases that may be Steve is talking about today that would suggest there was some aberration in that 17 or that the ones currently being negotiated or lower or is that just likely to move higher throughout the year?
Steven Durels: I wouldn’t – we just gave this guidance like 3.5 months ago. So in prep for today’s call, we do not go back through all of the goals, if you will, to reassess. So I can’t sit here now and say whether – you are saying its 12% was it – usually we give a range. So is that 10% to 12%. So is the 10% to 12%, as we sit here high, well, first quarter was I guess 17%, so that’s clearly higher. I don’t think we are projecting 17% as run rate. So clearly it sort of depends on what rolls when, some of the leases we are signing or we are signing for vacancy, not for replacement leases. So I think at this point, we are going to stay with 10% to 12%. It certainly seems like there could be upside to that number, based on the velocity and based on the first quarter’s result. But other than just a hunch, I couldn’t tell you that we have gone through each of the remaining 200 and some odd leases. We expect to sign for the remainder of the year and figured out, A, which one of those are in the mark to market pool and B, how it will affect the first quarter. So it certainly seems like there could be some upside there, but it would be premature of us to say that. And we will just – maybe by mid-year, Steve we will have like better feel for that. We start to forecast for the balance of the year. And I think we will have a better sense. But this early on, I would say if nothing else trending towards the higher end of that range.
Steve Sakwa: Okay. And then I guess your comment about asset sales, clearly the capital flows are extremely strong, I am just wondering what sort of dollar volume could that posses and where does the suburban portfolio sort of fit into that mix, does that need to see more leasing before you would think you can bring it to market or do you think buyers will be willing to in effect pay for some of that vacancy?
Steven Durels: Well. We gave some guidance in December. And I think Matt if I am not wrong, it was about $600 million for commercial office.
Matthew Diliberto: Correct.
Steven Durels: And we are talking about dispositions, right and $100 million for suburban. So I think we feel good with those numbers. That’s we have several assets that are just now, one in the market, several more that we intend to introduce into the market. All extremely good assets, but again these are assets where we look at the sort of average growth trend in these assets over the next 5 years to 7 years to 10 years, 3 years to 5 years. And we compare it against some of the more opportunistic or value add opportunities that e are looking at. And in those instances, we try to cycle out of the more mature properties and into the less mature. It’s hard to call any property mature in this market, because anything that’s been sold over the last 2 years or 3 years likely is being sold today, certainly has the potential for significant appreciation in the next 3 years to 5 years. But maybe not at the same rate as the opportunities we are looking at. And that’s how we are culling out the portfolio. So on that basis, we will probably look to do some complete dispositions and/or strategic JVs of assets that we think will get us up to or over the $600 million guidance for the year. I think our plan still is to meet or exceed that. And I would say the same for suburban. So, we didn’t put those numbers out there without some forethought as to which assets we intended to try and dispose of and the timing that we thought would be the optimal timing to do so, because in some cases, we are trying to get some leasing done right at the wire before we introduce to the market. So, I think we are still on that kind of trajectory. And again, we can revisit mid-year once we have a better sense of the reception to the market that the prices will be at.
Steve Sakwa: Thank you.
Operator: Thank you. Our next question comes from Michael Bilerman of Citi. Your line is open.
Manny Korchman: Hey, guys. Manny Korchman here with Michael. If we look at the leases you have under negotiation or out for signature, could you just drill down on that a little bit for us? How much of that is existing vacancy pending ‘15 roll or the acceleration of future years and maybe how much is office versus retail?
Steven Durels: Look, on the – we have got – it’s almost 50-50 between renewals and new leases. And of that, the dominant type of tenants is financial services and on the new leases, it’s I would say the majority of the square footage under negotiation is filling space that’s currently vacant as opposed to pre-leasing space for future vacancy.
Manny Korchman: And how much of that is retail?
Steven Durels: And retail is a small percentage of the square footage that’s out right now.
Manny Korchman: Then Matt, given the big non-cash sort of jumps in 1Q, does any of that benefit FFO for the quarter that we should be thinking about on a run-rate basis?
Matthew Diliberto: In the first – I mean, for as much as comes on generally rolls off. So, we had an adjustment for the first quarter that has a little bit of 2014 in it for 388, but a few million dollars. Otherwise, for the balance of the year, I would expect it to be pretty close to what it has been historically. That’s for our FAS141. On a straight line basis, the straight line adjustment will be higher this year. And that’s simply a function of Citi’s free rent at 388 Greenwich, which is going to be in the neighborhood of $80 million to $82 million a share.
Manny Korchman: Okay, thank you.
Operator: Thank you. Our next question comes from Brendan Maiorana of Wells Fargo. Your line is open.
Brendan Maiorana: Thanks. Good afternoon. Steve, maybe just an update in terms of a couple of the office assets, where you have got leasing in the growth portfolio, Tower 46, 10 East 53rd? And then can you just provide an update at 280 Park or you had potentially put the bed there, I know in the supplemental, it’s 65% occupied, but I think it’s higher from a lease percentage basis?
Steven Durels: Yes. So, 10 East we have leases out on five floors right now. We have signed a couple of leases in the past quarter. At the end of last year, we have already done four floors of leases. The capital project there is 90% complete. The lobby will be 100% done in about two weeks. Elevator cabs will follow on over the next month or two after that. And the plazas will be done in about 45 days and all the infrastructure is already complete. So, we are rocking and rolling as far as leasing velocity and tour activity and active lease negotiations at that property. Tower 46, we have got a lease out covering a floor and a half and we are trading paper with another very large tenant that it’s way early to handicap as to whether there is any life to that are not, but very strong tour activity. That’s going to be one of those buildings we are going to take some time to build up some momentum, because it was kind of out of sight, out of mind for the brokerage community, even though it was a brand, newly constructed property, but it was off most brokerage radar. So, it’s been a big effort to-date to reintroduce it back into the brokerage community and get everybody through the property, so they understand what it is that we are offering. And 280 Park Avenue is quite frankly is on fire right now. We have got several leases out at big, big rents and we will be down to – by the end of this year that building would be from a leasing perspective, it will hit stabilization.
Brendan Maiorana: Okay, great. And then probably for Matt although maybe someone else, just I am not sure if you can share any details on the WeWork lease, but – and I know they have got a lot of space with a number of other REITs that are out there. But just – are there a lot of capital dollars going into the space? And how do you guys get comfortable or how did you get comfortable with the credit and the dollars that go into the space with that lease?
Matthew Diliberto: Well, look I mean we are pretty excited about WeWork as a tenant and as a business. We have spent a lot of time with their principles and their people and at their facilities looking at their business model, which caters to this co-working community and the types of tenants out there that have high demand today, these TAMI-type and technology tenants. And their menu of kind of added, value-add services, we think differentiates them from a lot of other companies we see in that space. It’s a unique offering. They have substantial amount of cash in the bank. They have substantial institutional backing. And we got comfortable that for this kind of building, where we think their community of people want to be in this building, it was a perfect fit. So, I think where this is a joint venture, we own probably a third or so of the equity and not just us, but our individual partners were all very excited about this lease both in terms of whatever capital is entailed by it and excited to have them in our stable of tenants. So, it’s a good lease and great for us and we think WeWork is going to do great in the building.
Brendan Maiorana: Okay, great. Thanks for the time.
Operator: Thank you. Our next question comes from Brad Burke of Goldman Sachs. Your line is open.
Brad Burke: Hi, good afternoon guys. A follow-up on asset sales and sources of capital, should we think about those sales as completely funding your investment program for the rest of the year? And if it doesn’t how are you looking to fund those between debt and equity?
Marc Holliday: Well, I think we generally match fund over the years. So, I think that’s a good assumption. I can’t say exactly, because we have a pipeline of many, many buildings and we are talking about selling a number of buildings. So, there is timing issues and everything else, but the goal is certainly to try and fund the new acquisitions predominantly with the net proceeds of sale on a tax efficient basis, doing 1031 where possible. And then either tweaking up or down with debt or equity if necessary based on the timing in the volume. So – but I mean, that’s – I think that’s the way we have always done it. So, there is no change in that front. Traditionally, we have been net growers, so it has required on a net basis some amount more of debt and equity, but in ratios that will now decidedly keep us in the range of the investment grade rating that we have obtained.
Brad Burke: Okay, but no clear preference at this point for debt and equity to fund the balance?
Marc Holliday: Well, I mean, it’s not a question of preference per se. I would say, the plan is to fund the majority of it with asset sales and then depending on timing and volumes look to tweak up or down with debt and equity if necessary.
Brad Burke: Okay, great. That’s helpful. And another follow-up actually on structured finance, I just wanted to get an update on how you are thinking about the outlook for income for that business? How much you would like to grow the book? How you are seeing competition shape up for the year? And also how you are thinking about origination yields at this point going forward?
Marc Holliday: Sure. I think in terms of the size of the portfolio, I think at the end of last year, we said we would be up about $250 million kind of year-over-year. I think that still holds. If anything, we are kind ahead of budget right now, but we know there is lot of repayments coming in the second half of the year. Yields have in the market generally, I think they continue to compress. We have been able to kind of outperform the expectations that we set at the beginning of the year and at the end of last year, but it’s kind of too early to tell what the entire year is going to look like. There is a lot of competition out there, but through relationships and kind of the different approaches I have laid out at the end of the year, we have been able to kind of keep our volumes up and we are very bullish about the forecast for the rest of the year.
Brad Burke: Alright, I appreciate it. Thank you.
Operator: Thank you. Our next question comes from Vance Edelson of Morgan Stanley. Your line is open.
Vance Edelson: Terrific, thanks. Back on the WeWork lease and let’s throw in Bloomberg as well. Just given the overall shortage of large blocks in Manhattan, how much was the pricing on those leases reflective of that, was it demonstrably stronger, in other words are prospective tenants acutely aware that there is just not much out there?
Matthew Diliberto: Well, a couple of things. There are two different products as far as the building that Bloomberg signed at. But I can tell you is broadly speaking, the availability of large blocks of space and let’s define that as being 250,000 square feet or more, you can count on one hand. And if you are looking for 0.5 million square feet, then maybe there is two of them in Midtown. So the big block premium that tenants are confronted with to pay from a rent perspective is definitely back in the market. And I would expect it to sort of excel as the year goes by because there is not going to be a lot of inventory coming online for a big block space. WeWork is building different animal side street and it sort of fell into the fringe area of Midtown South kind of the hotspot where TAMI type businesses want to be. And that’s become look and feel that WeWork likes the associate themselves with. So I can’t really comment specifically to the rents, but I would tell you that the rents that we got on the building were well in excess of underwriting when we bought the building and well in excess of what we would have budgeted 18 months ago.
Vance Edelson: Okay, that’s helpful. And then I just wanted to give you a chance to comment on Betsy being added as a Director earlier this month, maybe just share with us why she is the right person and then what she brings to the table?
Marc Holliday: Well, we conducted a search to add a Board member kind of on heels of Andrew’s ascension to the Board in order to keep what the governance committee felt was a proper balance between independents and insiders. So we wanted – that was one of the motivating forces to add a Board member and Betsy just sort of stood out to everybody on the Board as perfect for the role. She is seasoned. She has been involved with a lot of big company boards and brings a level of experience that’s different from the traditional local finance and real estate experience that probably exists on the SL Green Board. She really comes out of the technology sector, if you will and venture capital sector. And given the amount of importance we put on those sectors in today’s market from a tenancy perspective and nothing else, we think that she can add a lot of value in terms of her role as a corporate governance Board member, but also in terms of her knowledge and relationships and ability to access the kind of tenants in this market where we would like to have a bigger presence with. So on a whole number of fronts, she stood out as a great candidate and was appointed.
Vance Edelson: Okay, it sounds like a great addition. Thanks.
Marc Holliday: Thank you.
Operator: Thank you. Our next question comes from Ian Weissman of Credit Suisse. Your line is open.
Ian Weissman: Yes, good afternoon. Just a quick follow-up, Steve to a comment you made earlier about the strong demand at 280 Park, maybe if you can just talk a little bit about the retail demand there, I saw an article the other day about The Four Seasons Restaurant considering its options. I just wanted to get a sense what the demand is today, what you thought the lease up opportunities and the rents were?
Steven Durels: Well, let’s put it in perspective, the retail on that building is not the driver of NOI. Part of our development plan was to create either one large or two medium-sized restaurant spaces. There are side street locations as part of the building. And we have had discussions with Four Seasons. They would have been a wonderful addition to the property if they were to come that way. But we are certainly not counting on them, coming over to the building. We are out in the market talking to a number of restaurateurs and now that the development work is essentially complete at the property and we are well down the road on the office lease up, we are turning our attentions to try and find the right restaurateur or restaurateurs to fill those two spaces. So we view it more as a element of the development plan to add the right look and feel and amenity to the building at street level as opposed to a typical retail addition to a property, which is a big NOI contributor.
Ian Weissman: And rents?
Steven Durels: It’s quite frankly it’s going to depend on the tenant. If we get a world class tenant that we think really adds to the – to what the building is all about, then we will skew the transaction to be more of a less base rent, more percentage rent type transaction. If we get a more mid-line type retailer that has still a high design with good look and feel, then we will expect more base rent. And I think the market value on this basis probably $100, $125 a foot.
Ian Weissman: Okay, thank you very much.
Steven Durels: You bet.
Operator: Thank you. Our next question comes from Jed Reagan of Green Street Advisors. Your line is open.
Jed Reagan: Hi guys. I am wondering if you can share any pricing details on the transaction of 803rd in terms of cap rate or price per pound and maybe what the strategic thought process was about increasing that stick there?
Marc Holliday: Well, it’s clearly – it’s a core asset for us that we have a lot of success within leasing. Lease up there has been terrific. So it’s an asset we wanted to consolidate additional interest in. We – the pricing on the new interest is around $700 a foot, for the asset. And post the acquisition, we own just over 60% of the building.
Jed Reagan: Okay. And where did that land in terms of cap rates, can you share that?
Marc Holliday: Yes. It’s between 4.5% and 5%.
Jed Reagan: Okay. Thanks. And maybe a question for Steve, just curious what you are seeing in terms of rent growth momentum in Midtown so for this year, I mean are you pushing rents at a pace that’s sort of consistent with your expectations as you kind of set out the year and then if there are any other submarkets that surprising you on the upside or the downside?
Steven Durels: Well, rents across the board are going up. And I always like to use the Graybar Building as sort of the great parameter of where the Midtown market is. Every lease that we are negotiating, where the negotiations started in the past call it 60 days, is in the low-$60s a square foot. And if you compare that to the height of the last, top of the last market cycle, Graybar got to a point where for a week or two weeks we did like a couple of deals like $61 a foot. And here now we are at the point where Graybar is – the typical deal is being signed, $61, $62, $63 starting rent. So I think that speaks volumes as to where the trend line is on rent growth.
Jed Reagan: Okay, thank you.
Steven Durels: You bet.
Operator: Thank you. Our next question comes from Craig Mailman of KeyBanc. Your line is open.
Jordan Sadler: It’s Jordan Sadler here with Craig. Just maybe a little bit of color on the investment opportunities you are seeing in front of you today, be it on the office side, retail, resi or sort of better opportunity today?
Marc Holliday: Well, I would say we are actively looking at all three of those sectors. I mean you have several large deals on the market in 11 Madison and the Trinity portfolio. Those are two big office deals in the market. There are smaller office deals as well. Retail, most of our focus continues to be on off market deals. We don’t really chase and bid marketed deals much on the retail side and thus we think we have are very specific and unique angle on the deal. And then residential, generally, I would say we have been looking at structured type deals, similar type of off market deals, the market of retail deals are very difficult for us to compete on. But opportunities like 605 West 42nd Street, which we closed up the end of last year and the Stonehenge portfolio, which we closed up in the first quarter of this year are getting most of our attention. So we are sort of agnostic as to what sector we deploy that capital. And we look more in terms of risk return for any individual deal and match them up with each other. We are not willing to take lower returns really in any of the sectors. We are trying to get the highest return on the capital we deploy. So, wherever we can find those high returns across all the sectors plus structured finance is where we will focus the capital.
Jordan Sadler: And what about submarket or I would rather say borough, are you looking in Queens and Brooklyn still? Are there some good opportunities there? Would you go beyond Brooklyn or Queens?
Marc Holliday: We are definitely actively looking in Brooklyn and obviously Manhattan. We have not done much in Queens and not much has crossed our desk in terms of investment opportunities that pretty granular markets out there. But we are actually seeing some opportunities in Harlem, none that we are I would say actively pursuing, but that market is also picking up as usually the case when Manhattan gets hypercompetitive. You start to see demand push to some of the outer areas. So, I think Brooklyn and Manhattan are still our main focuses.
Jordan Sadler: Okay, thank you.
Marc Holliday: Okay, I think that concludes it for questions, operator. The queue is empty.
Operator: Yes, I am not showing any further questions in queue at this time.
Marc Holliday: Okay, thank you very much everyone calling in and we will speak to you soon.